Daniel Fairclough: Good afternoon, and good morning, everybody. This is Daniel Fairclough from ArcelorMittal Investor Relations. Thank you very much for joining us today on our conference call to discuss the results for the first quarter of 2014. First, I'd like to remind you all that this call is being recorded. We will have a brief presentation from Mr. Mittal and Aditya, followed by a Q&A session. The whole call is scheduled to last about 1 hour. [Operator Instructions] And with that, I will hand over to Mr. Mittal.
Lakshmi Niwas Mittal: Thank you. Good day, everyone, and welcome to ArcelorMittal's First Quarter 2014 Results Call. I'm joined on this call today by all the members of the group management board and the senior management. My main message to you is of improvement and progress. Despite the lower iron ore price and the extreme weather in North America, we delivered a 23% improvement in underlying EBITDA year-on-year in the first quarter, as well as improved steel market conditions. This reflects the benefits of our cost optimization process and expansion of our iron ore capacity. We continue to make a strategic progress on many fronts. The key highlight of the first quarter was the completion of the Calvert acquisition. This is a very important step that strengthens our franchise in North America. Calvert gives us the additional capacity to supply the award-winning solutions we are developing for automotive. I'm cautiously optimistic about the outlook. While not without risk and some uncertainties, the leading indicators for our business are positive. The demand prospects for our core markets of Europe and North America are better than they were at the time of our full year results in February. As a result, we remain confident that our shipments will increase around 3% in 2014. Together with our continued focused efforts on cost optimization and the growth in our mining business, this should support higher EBITDA in 2014. I will begin today's presentation with a brief overview of our first quarter results, followed by an update of our recent developments. I will then spend some time on the outlook for our markets before I turn the call over to Adit. He will go through the results in greater detail and provide an update on our guidance for 2014. As usual, I will start with safety. The lost time injury frequency rate in Q1 '14 was 0.8x compared with 0.93x in Q1 '13. On this chart, you can see the clear progress we have made in recent years, reflecting our focus on this priority. As a company, we remain committed to the journey towards 0 harm. We recently held our eighth annual Health and Safety Day to reinforce this message and ensure that all levels of the organization are focused on this primary objective. There are 2 focus areas in 2014: contractor performance and the causes of 2013 fatal accidents. Next, I will turn to the highlights of the first quarter 2014, as you can see on Slide #4. EBITDA for the first 3 months of 2014 was $1.8 billion. On a comparable basis, there was a clear improvement in our operating returns. Steel shipments increased by 2.4% year-on-year, and market-priced iron ore shipments grew 28% on a year-on-year basis. Together with the continued benefits of our cost optimization efforts, underlying EBITDA improved by 23%. Net loss in the first quarter was $200 million, down from a loss of $300 million in the first quarter of 2013. As anticipated, our net debt increased to $18.5 billion in the first quarter of 2014. We believe this is the peak level of net debt for the year and maintain our $15 billion medium-term target. Now I move to Slide 5. I want to talk about the expansion of our steel margins. On an underlying basis, steel EBITDA increased by $14 per tonne compared to a year ago. In fact, all of the steel segments demonstrated improvement during the first quarter, with the exception of NAFTA. The decline in NAFTA is fully attributable to the negative cost impacts of the extreme weather in the first quarter. If energy cost had stayed at Q4 levels, then NAFTA's EBITDA per tonne would have also been higher than a year ago. I'm pleased to see the continued improvement in our results in Europe, where EBITDA increased by $19 per tonne year-on-year. Shipment volumes in Europe were 5% over year-ago levels. Even allowing for volume impact, we can clearly see the benefits of our cost optimization efforts. I'm also impressed by the results of ACIS. Volume increased 2.2% year-on-year, and despite the market impact of the political instability in Ukraine, EBITDA per tonne was clearly higher than year-ago levels. This was even after adjusting for the impact of the fire at Vanderbijlpark plant in first quarter 2013. The ACIS results for the 2 quarters will be impacted by the new cost of blast furnace relining in South Africa, but this is essential to work -- essential work to improve the sustainable performance. Moving on to the development of our mining business on Slide 5. We are pleased to report that we are making continued progress on our iron ore expansions. At ArcelorMittal Mines Canada, as you know, we completed our expansion from 16 million tonnes to 24 million tonnes last year and, in December, achieved a full run rate for both concentrate production and shipments. During the first quarter, we shipped 4.5 million tonnes, which is 1.2 million tonnes more than we shipped in the same period last year, despite the exceptionally cold weather. In Liberia, Phase 1 is complete, and we are on track for 5 million tonne DSO shipments in 2014. Second-phase expansion is proceeding well. We have all the environmental permits in place, and major equipment procurement is complete. Field works have commenced at the mine, and processing sites have been completed at the Buchanan port. This expansion is on track for completion before the end of 2015. In the first quarter, we saw a 28% increase in market-priced iron ore shipments on a year-on-year basis. So we are well placed to achieve 15% increase that forms a key part of our 2014 guidance. Moving on to Slide #7, to the Mines Canada expansion, second phase of Liberia and Baffinland projects. We are making continued progress on our plans to increase our iron ore production capacity from our ore mines to 84 million tonnes capacity by the end of 2015. Additionally, as we introduced at Investors Day in March, we now have identified some options to stretch production from the existing assets base by further 11 million tonnes. The first of these options is in Canada, where it has become obvious that this has real additional potential. Once we have sustained production at our new rate of 24 million tonnes, we will then focus on debottlenecking to incrementally increase throughput. This maximizes the potential of our wholly owned rail and port infrastructure and will also help drive Mines Canada further down the cost curve. We will eventually need some investment in additional rail sidings and additional conveyor capacity at the port to handle the increased product, but this will be significantly lower than the amounts invested previously. Moving on to Liberia. Second-phase expansion involves the construction of a concentrator to produce 15 million tonnes of premium sinter feed annually, as well as increasing the capacity of our infrastructure to handle the increased volume. We now see the potential to run second-phase and first-phase DSO in tandem. This stretch to 20 million tonnes requires minimal incremental investment and will leverage the rail and port investments made previously, as well as reduce unit cost even further. On Slide 8, I would like to make -- take a moment to update you on some of the progress we are making with our automotive franchise. As you know, ArcelorMittal remains at the forefront in terms of developing solutions to help our automotive partners achieve their light-weighting requirements. A good example of this innovation is our laser-welded, hot-stamped door ring, which achieved an impressive weight-saving while, at the same time, improving safety performance. This was a very successful joint effort and partnership with Honda and is just one example of how ArcelorMittal is driving the steel solutions for our automotive customers. Another example is our lightweight door solutions. We have had good success in convincing several European OEMs to switch back from aluminum to steel doors. We are now developing a steel door that is a very close match to an aluminum door in terms of weight but at a significant lower cost. We are now promoting this solution, and it is under evaluation at various OEMs. Our view remains that steel remains the material of choice for automotive and that the solutions we have developed and continue to develop offer the auto producers the most competitive route to achieve their light-weighting requirements. We continue to enhance our ability to serve the growing automotive markets. The acquisition of Calvert -- cement Calvert position in North America for at least the next decade and is well positioned to participate in the fast-growing markets, both in the U.S. and Mexico. This state-of-the-art facility is capable of producing the advanced high strength we need for the solutions we are developing. The integration of Calvert is underway, and we are pleased with the performance of the facilities so far, with 80% of the steel operations utilized. AM/NS Calvert, which is the name of this facility, had EBITDA positive in March, which is in line with our expectations for a positive EBITDA in year 1. We continue to expect to be free cash flow positive in year 2. Furthering our global automotive leadership, VAMA, which is our JV for automotive steel in China, is on track and expected to commence production early in the third quarter of this year. Initial capacity is 1.5 million tons, expandable to 2.3 million tons, making VAMA capable of supporting about 10% share of this fast-growing markets. My last presentation is the Slide #9, in which I will discuss our market outlook, which has improved over the past 6 to 9 months. Our core markets of Europe and North America, which represent around 2/3 of steel shipments, contracted in 2013 but are expected to grow in 2014. Manufacturing output in developed markets expanded during Q1 and the strongest piece for 3 years and continues to grow during Q2. As you can see on the chart on the left-hand side of -- left side of this -- left of this slide, ArcelorMittal shipment weighted global PMI continues to indicate improving industrial demand despite the signs of weakness in some emerging markets. In the U.S., steel demand was clearly impacted by the severe weather at the beginning of 2014, but the fundamentals remain positive. Manufacturing orders continue to grow, and auto sales and appliance demand are robust. Steel demand is higher than the same period of 2013, and we are expecting demand for the full year to [indiscernible] top of the range we were expecting back in February. In Europe, the Eurozone manufacturing PMI has been above 50 for 10 months and together with -- given the higher earnings for Czech Republic, Poland and the U.K., suggest continued European manufacturing growth. EU car registrations are rebounding, up 8.6% in the first quarter compared with the same period of 2013. The recovery is still constrained by weak credit growth and high unemployment, but underlying steel demand is rising. Even demand from construction market was higher in January and February as compared to the same period a year ago. The pace of the recovery is slightly stronger than anticipated back in February, so we have upgraded our apparent demand forecast toward the top end of our new forecast range of 2% to 3%, versus 1.5% to 2.5% back in February. Moving to China. Auto production rates are robust, and there's a continued growth in infrastructure investment. That said, steel demand growth is slowing due to declining residential sales and the lack of available credit for newly started real estates. Although we have trimmed our demand forecast slightly, we still expect underlying steel demand to grow by over 3% in 2014. Our production forecasts for China are unchanged due to the increase in exports. Demand in the CIS region has been negatively impacted by the crisis in Ukraine, but our [indiscernible] region are able to sell into the faster-growing Middle East and Africa markets. Overall, we expect global apparent steel demand growth in 2014 to be in the range of 3% to 3.5%, and we continue to expect ArcelorMittal's steel shipments to increase by around 3%. Now I will hand it over to Adit, who will discuss the financial results and guidance in more detail.
Aditya Mittal: Thank you. Good afternoon, and good morning, everyone. I'm on Slide 11, which is EBITDA bridge from the fourth quarter to the first quarter of 2014. EBITDA declined by 8.2% quarter-on-quarter. Let me walk you through the key aspects of -- or the reasons behind this. As we can see from the slide, there was a positive impact from volumes, the seasonal improvement in Europe and our Africa CIS division, offset by Brazil, which was impacted by operational issues. Volume and mix improvement was partially offset by price/cost squeeze primarily in our NAFTA operations, which were impacted by severe weather. The total weather impact for NAFTA operations is $350 million, with $200 million in Q1 and $150 million in Q2. The main component of this weather impact has been the spike in the price of natural gas, as well as the cost of distributing this gas to our operations in Northwest Indiana. In our mining business, there was a decrease in marketable iron ore shipments in Q1, driven by seasonally challenging weather conditions at ArcelorMittal Mines Canada. Nevertheless, year-on-year production did increase by 13%. Additionally, the mining division was negatively impacted by lower seaborne iron ore market prices, partially offset by a portion of iron ore shipments from Canada and Mexico that still has the quarter-lagged system. Turning to the next slide, Page 12. I will talk to you about our P&L bridge. I'm focused on the upper half of the slide, which is the chart which shows our Q1 results. Unlike in Q4, Q1 this year, there were no impairment or restructuring charges booked. Depreciation was lower at $1.1 billion compared to $1.3 billion in Q4, following a review of the company's useful life of assets. Our maintenance practices have technically enabled an increase in the useful life of key plant and equipment. Following a full review, which is anticipated to be completed by the end of second quarter of this year, the company expects the annual depreciation charge to be within the range of $3.5 billion to $4 billion. As you can see from the slide, income from investments, associates and joint ventures in Q1 was $36 million, a significant improvement from the previous quarter primarily because we were not impacted by the impairments we took in the fourth quarter of 2013. Forex and other financing costs was very similar to the fourth quarter at $380 million, and as a result of these factors, we recorded a net loss of $0.2 billion for the first quarter of 2014 compared to $1.2 billion in Q4 2013. Turning to Slide 13. Here, we're presenting you with an EBITDA-to-free cash flow waterfall. During Q1, we had $0.9 billion investments in operating working capital primarily as a result of higher trade receivables. Rotation days increased from -- to 61 days from 57 days in the fourth quarter. This build in working capital is in line with our normal seasonal pattern, along with the $0.4 billion investment in payables, and I expect most of this to reverse during the year. The third bar shows the combined impact of net financial cost, taxes, tax expenses, as well as reversal of noncash items and changes in other payables such as employee benefits, payment of provisions and VAT. Negative cash flow from operations of $471 million combined with CapEx of $875 million resulted in negative free cash of $1.3 billion. Turning to Slide 14. We have a bridge for the change in our net debt from the fourth quarter to Q1. The main component of the debt increase during the first quarter is the $1.3 billion negative free cash flow, as described earlier. M&A totaled $0.2 billion, primarily relating to the payment for the acquisition of Calvert. Furthermore, during the quarter, we redeemed our perpetual bond. This provides direct and immediate cost savings to the company. We also recorded Forex and other charges of $0.2 billion. $130 million of the Forex impact is primarily due to devaluations in Venezuela and Argentina, and the remainder is the dividend payment of $55 million, primarily to our partner in ArcelorMittal Mines Canada. Let me now turn to my last slide, Slide 15. As you know, we are maintaining our EBITDA guidance of approximately $8 billion in 2014. Let me briefly reiterate the key assumptions behind this framework. The current economic outlook, as we just reviewed, and forecast for apparent steel consumption support our expectations that steel shipments will increase by approximately 3% this year. As mentioned earlier, given that Mines Canada is now operating at its full potential, we expect a 15% increase in marketable iron ore volumes for the company in 2014. Our guidance continues to assume an average price of $120 per tonne for the year -- average iron ore price of $120 per tonne for the year. Finally, we continue to expect a moderate improvement in steel margins this year. While higher industry utilization rates are a factor, the bigger driver is the further contribution of the group's asset optimization and management gains cost optimization programs. So these are the assumptions behind our EBITDA guidance of approximately $8 billion. Additionally, we continue to guide to CapEx of approximately $3.8 billion to $4 billion, net interest expense of $1.6 billion and maintain our medium-term net debt target of $15 billion. This concludes our prepared remarks, and we are now ready for your questions. Thank you.
Daniel Fairclough: Thank you. [Operator Instructions] We do have a queue already, and we will kick off with Bastian from Deutsche Bank, please.
Bastian Synagowitz - Deutsche Bank AG, Research Division: I've got one quick question, and that one is on your guidance because everybody is quite focused, obviously, on the $120 iron ore price assumption, which you left unchanged, while at the same, you increased your growth assumption for Europe and NAFTA. So now looking at price/cost spreads, it seems also like, at least, some of the falling variable costs can be retained on the steel price level. And I know it's quite early to discuss what is the right iron ore price assumption for the year, but are you effectively seeing a bit more buffer in your guidance coming from the steel side, which should come in very positively for lower iron ore prices, which we currently have on all screens? Any color on that would be great.
Aditya Mittal: Okay, Bastian. Thank you for your question. Our assumption for iron ore price is $120 for the year. We made this forecast in February. And when we looked at the fundamental analysis of the demand and supply situation of the global iron ore market, we arrived at the conclusion that our assumption of $120 remains reasonable. At this point in time, we see a technical correction in the iron ore markets. We believe it's technical because it's related from what we can see directly to the deleveraging that is occurring in the Chinese real estate sector and also in the imports of iron ore. In terms of our margins, we are seeing benefits accruing due to our cost optimization programs in Europe, due to improvement in performance in ACIS. We see continued growth volumes in these markets. Some of that is part of our guidance because we had talked about an increase in shipments of 3%. We are still focused on an increase of shipments of 3%. We talked about a moderate improvement in steel margins, and we're seeing that as well. Clearly, to some degree, price weakness on raw materials do help nonintegrated operations, and some of that effect may also interplay into our results during the year.
Daniel Fairclough: Thanks, Bastian. We'll move on to the next question from Alessandro with JPMorgan.
Alessandro Abate - JP Morgan Chase & Co, Research Division: I have 3 questions, if I may. The first one is related to the U.S. market, with the prices holding incredibly well despite increasing inputs. I just would like to know from you, what is the splits, in your view, between contribution of strengthening demand in the U.S. and beneficial impact of outage at the moment? The second one is related to your view on Chinese steel export, if this can actually represent the tripe [ph] going forward for the European space. And the last one, it's interesting to see that you're increasing your estimates of European steel demand towards the higher end of your range. What basically is the expectation you have in the Southern European space?
Louis L. Schorsch: Yes, Alessandro, I can comment a bit on the U.S. side of the question. Obviously, we don't have any definitive split between the better demand and the supply side situation. But I think we see it as primarily demand-driven. I think we've seen imports be up to as much as 25% and 26% of U.S. consumption this year, and yet we've been able, in general, with some ups and downs, to see prices not [ph] drop off a bit. And so I think that's a sign that the underlying demand has been able to absorb that increase in imports. Clearly, we had a lot of disruptions, as we described and as you can see in our results, that were weather-related on the supply side in Q1. But what I would also say, as we talked in the last call, that there were also a lot of disruptions on the demand side. This affected the entire manufacturing sector in North America, certainly, that part of it that's in the core center of the country. So in a lot of cases, we had customers unable to pick up material. We had customers' trucks and third-party logistics unable to move material. So the weather phenomenon was as much a demand side issue as it was a supply side issue. So I don't want to put percentages around it, but I think the fact that we've been able to absorb those imports with prices being relatively stable with some ups and downs indicates that it's been the underlying demand that's been more important driver.
Lakshmi Niwas Mittal: On Chinese exports, this is not a new phenomenon. From our point of view, China exports are really not cost-competitive. If you look at the performance, most of the Chinese companies are losing money, or they're not profitable. And I now view most of the China's exports are meant for Southeast Asia. Our product segment is really different. We are more moving towards high value-added products, where we see our strength in terms of product capability and our product mix, customer relations, our participation with customer on the new product developments, our India efforts, all these put together. While the imports are increasing, we think that China's exports should not affect our markets to any degree. And there has been some exports to North Africa, and all these, basically, are the commodity products. And at the same time, we believe that with the new Chinese actions of reducing the pollution, cutting down the capacity, the export should slow down going forward. But China's economic fundamentals are still strong. Their demand is [indiscernible] to grow -- [indiscernible] to grow between 3% to 4% this year. So while we have to be careful and watchful, we are not really unduly concerned.
Aditya Mittal: Okay. I think, Alessandro, on your question on Europe, we don't have specific growth forecast by region, but I can provide you with some indicators. So just at the high level, as you've rightly observed, we have increased our apparent steel consumption forecast for Europe. PMI has been above 50 for the last few months. We expect continued growth in the manufacturing sector into 2Q. If you look at the key contributing factors, automotive in Q1, it was up about 8.4%. And if you look at construction, year-on-year, it was up about 3%. When you drill down into automotive and construction, the difference between Northern and European markets, you see that that is a bit more broad-based, the automotive recovery, primarily because in Spain, we saw 11.8% growth; in Italy, we saw 5.8% growth; and automotive, generally it was 5.6%; and the ligard [ph] was really flat at 2.9%. So you can see that in terms of automotive, new passenger registrations is a bit more broad-based. The area where it is not broad-based is construction in Europe, where we're seeing growth in construction in Germany, Poland and the U.K. but not so much in the southern markets. That's just -- yes, thank you.
Daniel Fairclough: Good. And thanks, Alessandro. We'll move on to Alain William from Soc Gen, please.
Alain William - Societe Generale Cross Asset Research: So I would have 2 questions, please. First, could you give us a breakdown of the workforce by reporting segments just roughly in percentage? Second question is -- the endgame for the new organization structure must include some cost savings. Do you expect to communicate them at some point? And probably a tough question, sorry, just wondered what's the operating leverage that remains in Europe? Because the shipments were quite strong in Q1, the utilization rates seem to be quite high on my numbers. So just wondered what more you can do volume-wise.
Lakshmi Niwas Mittal: [indiscernible] on the workforce and operating leverage in Europe, I tell you this new organization had just begun working from January. I've been meeting some of the leaders of our new organizations, and I'm very pleased with the new organization, which reduces the complexity, which we had in our business before. It also reduces certain layers, which has also improved certain [indiscernible]. And when I meet the senior managers and the leaders, I find they are very excited and motivated. In one of the segments, clearly, when I met them last week in Latin America, they identified $50 million to $60 million synergies by these organization changes. So I'm sure that going forward for the year, when we will -- the organization will have settled well, we will start seeing the benefits. But clearly, there are benefits, and there is much improvement in new leadership.
Aditya Mittal: Very quickly, in terms of employee numbers by percentage, the total is 232,000, 13% NAFTA; LatAm is -- or Brazil, as we call it, 9%; Europe, 39%; AACIS 22%; and mining 16%; and there's another -- other of 1%, so that gets you to 232,000 -- basis of 232,000. In terms of operating leverage, we still have operating leverage across our markets, whether it is EU or NAFTA. And we believe that we would be able to grow with the market. We have talked about a growth target of 95 million tonnes of shipments in the medium run to long run, and we have the operating capability to achieve that.
Daniel Fairclough: Thanks, Alain. We'll move to Mike Shillaker of Credit Suisse, please.
Michael Shillaker - Crédit Suisse AG, Research Division: Two questions for me, if I may. Firstly, can you just go into a little bit more detail -- there is a bit of a black hole, I think, for us in terms of -- and you did touch on it, but a little bit more detail in terms of what is going on with you in Ukraine, the CIS in general and Central and Eastern Europe, around that? Are you actually seeing domestic demand weaken? You talked about being able to get steel out and into the export markets, but I guess that's less profitable steel to sell given shipping costs. So can you give us a little bit more of an outlook in terms of what you expect the dynamic to be going forward? Is there any sort of confidence contagion in demand into Central Europe and similar, and what you are expecting within the realms of not giving guidance but what you're expecting for numbers in that region? Second question for me is -- look, we're clearly in a better demand environment. Your numbers are better. But given your experience in past cycles, when the PMIs have done this, the demand has recovered in similar. Are you maybe a little surprised the restock effect has not been more aggressive? Because clearly, it's not much of a restock going on. It doesn't appear right now. There doesn't really appear to be any major pricing power, for example, in Europe, where prices actually look if anything as though they're down, and it's a bit of an unusual cycle relative to past cycles even if you skip back to pre the 2006 period. And final, as a clarification, did you say the weather impact in the U.S. was $350 million?
Lakshmi Niwas Mittal: Michael, on Ukraine, I'll make 2 comments. One, that there is a crisis in this part of the region. We are continuously monitoring and watching, and we are hoping that there will be some peaceful solution in coming months. There are a lot of milestones in the next weeks, and every milestone will have some impact, or it will evolve the situation. As far as the operation is concerned, I'm very happy that operations had been normal. There had not been any significant supply chain disruptions. We are able to get in our raw materials. We are able to ship out our finished products. So that's a good news. At the same time, you are right that there had been some weakening of the domestic demand in Ukraine and Russia. Just to let you know that our sales to domestic market was about 15% of our business. Now it is down about by half. Similarly, Russia will have a share of about 15%. That's also down by a couple of percentage. But on the flip side, Ukrainian currency is weakened by about 40%, 45%, which is helping us in improving our competitiveness. At the same time, the Middle East and the North African markets are stronger. We are able to export our surplus material to these markets. And in fact, I was very surprised that there has been so much of media discussion on the Ukrainian crisis. The last 10 days were the best 10 days of production in this year, so far, in Ukraine, which clearly shows that our teams are doing a great job in terms of maintaining the volume, maintaining the shipments, getting the raw materials. As far as Europe is concerned, I see that there is a very little impact -- there should be very little impact of this Ukrainian crisis because we were not shipping to Europe. And at the same time, I do not see that in Europe, unless the crisis turns into some kind of a gas problem, which means that the gas supply reduce and the gas prices go up, which could disturb the European economy. So that is the -- these are the various inputs which I could give to you to make an assessment of Ukrainian crisis situation. Adit?
Aditya Mittal: Okay, Mike, $350 million is the right number, $200 million in Q1 and $150 million in Q2. In terms of restock, margin, prices and all those questions, I think what we did talk about was an underlying improvement across all markets apart from the weather impact in NAFTA. And I think that's quite important to recognize. When you look out, for example, into the European demand environment, we see margin improvement. We see now that's a function of price and cost, clearly, but we do see margin improvement. I think everyone, all customers, distribution, as well as other, are very focused on a lean supply chain. So we see that trend continuing, so maybe that's one of the reasons of difference. And also, credit remains an issue. And so combined within supply chains and credits, maybe that's why I don't see restock as aggressive as in past cycles, but we clearly do see positive real demand and positive apparent steel consumption growth in our core markets.
Daniel Fairclough: Thanks, Mike. We'll move to Jeff from Macquarie, please.
Jeffrey R. Largey - Macquarie Research: You've talked about the lingering effects of the adverse weather in the U.S. And Lou, you mentioned some of the supply outages that have occurred. I guess I was just wondering if you could expand on that, whether you're actually benefiting from some of these outages, or is that really just falling to the demand of the U.S. mini mills who have spare capacity? Obviously, I think it's pretty well known that one of your large integrated peers is having some real logistical issues on the raw material front. And then the second question I had was to go back to the guidance. I guess I wanted to ask the question a different way. Assuming -- I mean, do you -- I guess the way I'd ask it is, do you need iron ore to be at $120 a tonne for the full year on average to actually achieve the $8 billion of EBITDA, or can you be near? I mean, I guess this is what -- the issue is the market seems to be fixated on what's happening with this technical correction in the iron ore price and not paying attention to progress that's evolving elsewhere in the business.
Lakshmi Niwas Mittal: Would you like to give some more clarity on this?
Louis L. Schorsch: Yes, I would say that most of our production challenges, let's say, were in the first quarter. So in fact, we were shipping ahead of our planned numbers in April. Again, I don't want to comment about competitors. We do have some negative effects, I would say. They're relatively minor though in terms of ability to deliver pellets that's been hand-to-mouth. If you're familiar with this situation there, you know that we've had to have icebreakers involved in moving material. The convoys have taken much longer than in the past. So we have been hand-to-mouth as well. That will have some modest effect on shipments capability in Q2 for us, but really, I think, most of the production-related issues for us are behind us as of Q1. The hangover in terms of the weather impact is really more as the higher gas prices flow through the income statement into Q2 because of the accounting procedures.
Aditya Mittal: Okay, Jeff, that is a good question. I think though we are entering into speculative territory. At the end of the day, our assumption for iron ore remains $120, and that's the basis for our guidance. If iron ore is not $120, what happens to steel margins is really the question. And I think it's at best speculation to say what would happen to steel margins, how much they will expand in 2014 if iron ore remains at current levels.
Daniel Fairclough: We'll move to Luc Pez of Exane, please.
Luc Pez - Exane BNP Paribas, Research Division: Gentlemen, a few questions, if I may. First of all, a follow-up on Ukraine. Could you confirm the goodwill associated with the acquisition of Kryviy Rih, yes, the ones with $3 billion left in balance sheet. Second, would it be possible to have a split EBITDA-wise between flat and long in the different region because I think it's really affecting the readability of these results? And last, on Enovos, the second-term payment, when is it scheduled? If I remember right, this was to happen through the current year?
Aditya Mittal: Could you repeat your second question in terms of Enovos? Enovos was done already.
Luc Pez - Exane BNP Paribas, Research Division: But there was a second part of the payment which was due in 2014?
Aditya Mittal: Yes, it was done in 2013. We had accelerated the 2014 payment as well, and that was done in the summer of 2014. And the payments came through, finally, in the fourth quarter of 2014. So there's no more Enovos -- sorry, in fourth quarter 2013. So there's no more Enovos in 2014 results. In terms of goodwill, I mean, we are not providing goodwill by facilities. So for ACIS, the goodwill is at $1.5 billion. And I think your second question, if I get it correct, was the EBITDA split between flat and long. And as you know, we have moved to a new segmentation, where we are going to try and provide you with the shipment change, selling price change. And then you can do some modeling as to what you think the flat, long EBITDA is. So we're not managing the business on that basis. We're managing it on a geographic basis. And as soon as we take that decision from an accounting perspective and an SEC perspective, we have to report as per the segment in which we manage our businesses.
Luc Pez - Exane BNP Paribas, Research Division: I do understand that you run this business from a geographical standpoint. But I mean, throughout the appendix back in the previous quarter, this was clearly helping us, doing the modeling. So it might be interesting to follow up on this one.
Aditya Mittal: Yes, I think, maybe I'll ask Daniel and his team to work with you. And we have provided some Excel sheets in which you can look back at the last few years, and go through how the segmentation would work. And then the team can provide you with maybe more detail on what the changes in selling price and volumes imply for the relative EBITDA of flat and long.
Daniel Fairclough: We'll move to the next question, please, from Seth at Jefferies.
Seth Rosenfeld - Jefferies LLC, Research Division: Gentlemen, Seth Rosenfeld at Jefferies. Just a question on outlook for net debt and also your working capital outlook again. Obviously, you saw a significant increase in net debt in Q1, driven principally by working capital investment. Can you please discuss that more, what your outlook is for working capital moving forward? First, in the near term, if we assume further demand strength in volume growth in Q2, should we expect further working capital investment or has enough already been done in the past 3 months? And then in the longer-term, how do you see working capital moving through your business into 2015 perhaps? And what are the possibilities to streamline this a bit more sustainably -- to sustainably operate at lower levels in the coming years?
Aditya Mittal: Sure. Thank you, Seth. We're not forecasting builds into second quarter, a significant build. And for the year, we would expect working capital to come down. If you look at the past few years in Q1, we always build working capital. And by the year-end, we have less working capital. We continue to remain focused on driving efficiency through our working capital spend, and that's why you see that our days have not dramatically increased. In terms of the other point I would say in terms of 2014, if shipments are rising, but also recognize that iron ore, our assumption is $120. Last year, average pricing for iron ore is $135. So that itself implies a lower cost of inventory on raw materials. As you know, coal is much weaker. So I do believe that the shipment increase is offset by lower raw material prices. And I think to answer your question on 2015, we then have to review exactly what is the price environment for raw materials, what is the price environment for steel and our forecast for volumes. The easier one to answer in that is volumes. Clearly, we would expect volumes to continue to rise. And as that happens, we may see margin improvement and higher profitability. So I hope that answered your question. I don't know if you have any follow-ups, Seth.
Seth Rosenfeld - Jefferies LLC, Research Division: Yes, if I can add a follow-up question on the back of that. I guess can you give a bit more color on your outlook for medium term net debt as well? Clearly, this would imply a reduction of net debt perhaps going into Q2. You've reiterated your medium-term target of $15 billion in net debt. Have you given any -- or can you give any public sense for what the timeframe is for that, and thereafter how you're considering the prospects for what to do after hitting that target between increasing your dividend once again, balancing your existing debt buyback or increasing CapEx?
Aditya Mittal: So I think you've already highlighted all the options available to us. But I will, for good measure, go through it again. So the target of $15 billion is medium-term net debt target. We have not provided the market the specific data on that. And our target remains $15 billion in the medium term. In terms of what we will do when we achieve $15 billion, we talked about this in the Investor Day we had in February. But basically, the options you outlined are available to us. We could increase dividends, we could increase growth CapEx, we could delever further. And these discussions, obviously, would be held with the board of ArcelorMittal. And one of the topics that they would also want to address is what progress have we made in terms of achieving investment-grade rating. So we would update the markets once we've had that discussion with the board, and we get some direction and sense from them as to which way they would like the excess cash to be deployed.
Daniel Fairclough: We'll move to the next question from Carsten Riek at UBS.
Carsten Riek - UBS Investment Bank, Research Division: My questions circle around the U.S. Steel price realization in the first quarter was comparably low. It was only up $7 even though on a spot basis, we have seen more than $50. And the question is, was there a change in the product portfolio in the U.S. given all the difficulties we have seen with the weather, et cetera? Or why didn't you actually achieve more or more price increases in the U.S. in the first quarter? Second question, the steel prices recently have risen quite a bit in the U.S. driven by maintenance outages. One colleague of mine already mentioned the issues one of your competitors has with raw materials. But we have now seen that those assets will come back into the market, as well as we have seen a higher number of imports coming into the U.S. Could that challenge the steel prices going forward, which are again at quite a bit of premium compared to other areas? Those are the first questions.
Louis L. Schorsch: Yes, I think as we discussed, most of our operations are, in fact, in the part of the U.S. that was most heavily hit by the severe weather. And that disrupted not only our operations, but the flow of materials to our customers. So we did lose some shipments in the U.S. relative to where we were in the previous quarter, where we'd expect it to be. And typically, when that happens, then you're focused more on serving the contract customers, where you have commitments to those customers versus the spot. So I think any time you see the shipments being down a bit, in a company like ours that does have a very substantial involvement in those OEM markets and customer bases, then the -- what's cut back is, in fact, the spot business. So I think Q1, for a lot of reasons, was not a very representative quarter. I think we'll be back on track as you grow -- as we come out of those bad situations. I have already mentioned, we look to the April shipments actually being a bit higher than what we had expected in our business plan or even our forecast from earlier this year. Looking forward, I think it's difficult for us to comment about prices. Whenever this comes up, I think we always communicate that we recognize we're in a market that is affected by trade flows, and that there's certain arbitrage opportunities that can emerge or disappear depending on the differentials across regions. Clearly, by world standards, U.S. price levels are relatively high right now. How that plays out in terms of that differential being adjusted over time, we'll see. I would say that supply disruptions, when you really look at the sort of volume involved here, particularly as we exit from the much more difficult first quarter, really are not substantial enough to drive big swings, at least as we see it in a pricing level. So again, we come back to thinking that the underlying demand in the U.S. is good, but that price differential is something that we're always looking at. How it plays out going forward and when it plays out, that's something that's not really appropriate for us to comment on.
Carsten Riek - UBS Investment Bank, Research Division: Just one follow-up on the new structure because it's, in general, it's fine. I also don't want to have an EBITDA breakdown between long and flat, but what would help tremendously if we could have volumes split between long and flat because the drivers are simply different. Is that possible going forward?
Aditya Mittal: Yes. I don't want to keep on saying yes on these questions, but I'm sure if you follow up with Daniel and his team, they would want to help you out as much as they can. And Carsten, I had maybe, since you're on the line, you mentioned a price change of $7 between 4Q and Q1 for NAFTA. Our change that we're reporting, average steel selling price, is $15.
Carsten Riek - UBS Investment Bank, Research Division: I have $8.71 against $8.78, but I will take it. That's not a problem.
Aditya Mittal: Okay, okay, no problem.
Daniel Fairclough: We'll take the next question from Rochus at Kepler, please.
Rochus Brauneiser - Kepler Cheuvreux, Research Division: It's Rochus from Kepler Cheuvreux. Two questions, the one is on the U.S. business. I guess we broadly discussed these disruptions in the U.S. market, which are partially still ongoing. Wouldn't it make sense at this context that you're postponing the revamp of this major blast furnace in North America? If I remember correctly, the revamp was scheduled for June 4 for, I guess, 3 months or 2 months. Is this still on track or do you consider any pushback which might help you to make opportunity from the current favorable market environment? The second one is could you share your view on the outlook for the European market for the second -- for the rest of the year? We are seeing flat steel price on the strip side driven by the decline in raw materials. Probably, there could be a risk of rising inputs into the euro because of strong euro end zone and weakening emerging market currencies. As there is also probably a de-stocking, wouldn't you see the necessity that the industry is returning back to production cuts at some point because obviously, the reason for some of the blast furnace restarts is not there as nobody needs to restart more than necessary because of the current pricing outlook? That's it from my side.
Louis L. Schorsch: Yes, first, in regard to the realign of our #7 furnace in Indiana Harbor, we are proceeding with that. It's roughly a 2-month project. We have been planning this. Really, it's several years that the planning has been ongoing. That involves lining up contractors, delivering materials for the work that's done on the furnace, as well as then ordering and building inventory of slabs to compensate for this. So we don't expect our shipments to be affected at all. And again, you -- if you could just choose to realign it because you decided you want to, you'd probably never realign it. So it's about time it needs to be done.
Aditya Mittal: Okay, great. In terms of Europe, I appreciate all your comments and your thoughts, but we're really not in a position to talk about pricing capacity and all of those factors in Europe. I think as soon as we talk about pricing on a forward basis, you're not looking historically. I think from a competition perspective, it isn't appropriate. So I can just reiterate that we see, in our business in Europe, we see growth in the markets in which we are serving, and we see due to the combination of our cost optimization asset, asset optimization, improved margins in our European business.
Rochus Brauneiser - Kepler Cheuvreux, Research Division: Okay. But maybe let me try to ask it differently. I guess one of your parameters to get to the $8 billion is that you see an expansion on the steel margin side. Is this assumption regardless of the steel pricing you see for the rest of the year? And if not, what kind of steel price assumption you're taking for Europe and, yes, from the current quarter onwards until the end of the year?
Aditya Mittal: So I appreciate the question, but again, what we're saying is that we remain constructive on the European market, both from a volume perspective because the real demand is picking up, and we're seeing due to our cost efforts, margins improving in the short run.
Daniel Fairclough: We'll move to a question from Mike Flitton at Citigroup, please.
Michael E. Flitton - Citigroup Inc, Research Division: It was really just coming back to construction in Europe. I was wondering if you can give us just some more color on what you guys are seeing because there seems to be an increasing number of companies out there in other sectors, chemicals, et cetera, that are becoming incrementally more positive over the last quarter or so on European construction. You did mention in the presentation, you do expect growth going up in 2014. I was wondering if you view, just alongside that, any upside to the euro construct figures, which were about 0.9% growth this year? And just sort of alongside that as well, the -- have you ever quantified at all, give us a sense of how much EBITDA or EBITDA per tonne you may have lost on the back of the sort of slump in European construction, just to give us sort of an idea of sensitivity to a recovery there?
Aditya Mittal: Okay. So maybe just some broad numbers, and then we can talk about the impact of construction on our business in Europe. So as you know, construction was up 3% compared to the same period last year. This rise represents more seasonal effect because of the severe winter in Europe in Q1 2013 than the structural recovery of activity. Nevertheless, we are still forecasting a 1% growth in 2014 for construction. When we look at the EU, I think as I said earlier, Germany, U.K., Poland performed well, while certain countries remain depressed. When you look up -- when you look at activities largely driven by residential and the renovation sectors, while non-res is still suffering from the lack of investment. Because non-res is suffering from a lack of investment, just to be a little bit more precise on that, that implies that the growth of flat products and construction is less attractive. There are still attractive markets for long because res and renovation sectors also impact the long business a bit more. In terms of the steel business, I mean, the European steel demand is off almost 25% from '07, '08 levels. And this is largely due to the impact of the construction markets. Construction markets has a tremendous impact on volumes. And volumes increase will have clearly an impact on your base profitability. So as constructions markets recover in the medium to long run, that would be a significant positive to our core markets.
Daniel Fairclough: We'll move to the next question from Philip Ngotho at ABN AMRO, please.
Philip Ngotho - ABN AMRO Bank N.V., Research Division: I have 3. First of all, maybe on the mining expansion, could you indicate roughly how much additional CapEx you expect to need to expand the ore production, and also when you expect to have a final decision for a go or a no go? And then on the Management Gains program, if I'm not mistaken, I did not see an update of that in the presentation. Could you just share with us how that is progressing and where the run rate is currently? And my final question is on Brazil. We have been reading recently more news about possible energy rationing, and electricity price have soared by 400% year-on-year. I was wondering if -- how that might impact your cost base in Brazil, and also what you're seeing in terms of demand in Brazil?
Unknown Executive: Yes, on the mining expansion, firstly, we communicated at the Investor Day that the capital intensity per tonne to the combination of Canada and Liberia would be around $75 a tonne maximum. We're doing the work on Liberia at the moment, and we anticipate in the next 2 to 3 months bringing that to the board for approval. We're pushing Liberia because we want to piggyback some of that on the back of the phase 2 work that we're doing now; there's some synergy in doing that. The Canadian expansion, that is a different situation. This year, we're focused on sustaining the 24 million tonnes, which we're on track to do. From then, it's incremental debottlenecking up to the 30 million tonnes. So that will come in steps along the way. So it's difficult to put a timing on that, but we'll be going step-by-step from the 24 million tonnes this year.
Philip Ngotho - ABN AMRO Bank N.V., Research Division: Okay. And in terms of capital expenditure for the Canadian expansion?
Unknown Executive: What we cite for the combination, it's going to be no more than $75 per tonne.
Aditya Mittal: Look, in terms of management gains, I think you are aware of our program at $3 billion. It means a lot of progress in 2013. We continue to make progress in 2014. But we think from a competitive perspective as well, that it's more appropriate to update the market on an annual basis than a quarterly basis. Otherwise, our competitors track us very closely. And they have been trying to mimic what we do on a quarterly basis, which is not helping us. So we will update you on what we do in management gains for 2014 in the year-end results of 2014.
Louis L. Schorsch: Turning to Brazil, you're right that there's a lot of concern about electricity prices and the scarcity there that's driven by significant drought in that country. In terms of the direct impact for us of more than 90% of our electricity needs are hedged or repurchased at, let's say, previous levels. So I think we actually feel that it's not going to have a direct negative impact on our business. In an odd way, we may actually benefit from that. We're going to restart our #3 blast furnace in Tubarão in July. And because that plant is so energy-efficient, it actually generates a significant amount of electricity that we sell into the grid. So that's -- again, we don't want to have any schadenfreude for the people that are suffering from that, but it may turn up in our results to have -- we'd be selling electricity in the grid at a very high price. Nevertheless, it does have an indirect effect on us in the sense that it potentially affects some of our customers, smaller customers that maybe haven't hedged the electricity prices to the degree to which we have. So it's something that clearly we'd rather see the electricity environment be more supportive of growth and higher demand in that country. I think in terms of the overall demand in Brazil, and maybe I can talk about Brazil and Argentina together, I think we feel good about the prospects certainly through the first half of this year. I think there is some pessimism in the Brazilian market. There's an election coming, as you know, in October. I think while the exchange rate has weakened quite a bit from the peak a couple of years ago of 1.6. It's now around 2.22, I think, the last time I checked. I think most people feel it should be closer to 2.4. So I think there's some concern, let's say, in the Brazilian business community. I think a lot of people feel that, that's temporary and it's a bit overblown, again depending on the electoral prospects and outcome later on this year. I think, Argentina, we've been very positively surprised to date as how that demand has held up in that country and how the exchange rates even have stabilized a bit after the devaluation in January. But that remains also a question mark for the second half. But I think through the first half, we're very -- of those results and more or less growth. And they're quite positive.
Philip Ngotho - ABN AMRO Bank N.V., Research Division: Okay. Maybe just one follow-up question on that. Could you maybe give us an idea of a split of how much of the shipments are actually really for the Brazilian market and how much you export?
Louis L. Schorsch: Yes. Across the entire region, I think we're only exporting now maybe about just -- I would say it's about maybe 15% to 20%. And so that's primarily on the flat side, and it's primarily semifinished product, a fair amount of which now could be going to our operations at power.
Daniel Fairclough: We'll move to the next question from Justine Fisher at Goldman Sachs, please.
Justine Fisher - Goldman Sachs Group Inc., Research Division: I just have one question on the total debt level. I know that you guys talk about net debt, obviously, as far as the guidance is concerned. But it looks like total debt was up by about $1.5 billion quarter-over-quarter. And I know that you did issue the $750 million of Euro notes, but I'm just wondering what other increase in total was up, yes, about $1.2 billion. And I'm just wondering what the other increase in debt was? And is the short-term debt, can we expect that to be repaid? And then second, on the debt front, you guys have a few maturities left this year, and I was wondering whether you plan to come back to the capital markets to address those? I know there was actually just one that matured in April. Or whether you will take care of those as cash?
Aditya Mittal: Great. So Justine, your numbers are exactly ours. Of course, that is up by $1.2 billion. So the bond that we did was EUR 750 million. So roughly that's $1 billion. And then there was an EDC facility that we entered into Q1. That's a $200 million facility. So that roughly gets you to the $1.2 billion number. In terms of going forward, we like to maintain cash in excess of our line to $6 billion, up in $1 billion, $2 billion, $3 billion. So if you look at our cash balance at the end of Q1 revenue on the high side. And we had been meeting these maturities. There's a lot of maturities in April, May through our cash balance. Other than that, I don't want to provide any guidance or forecast on when or if we will be accessing the capital markets.
Justine Fisher - Goldman Sachs Group Inc., Research Division: Okay. And then -- sorry, I actually have one other question for you. In your discussions with the rating agencies, how do they view the interplay between steel and iron ore? I mean, of course, when we hear from the rating agencies, they talk about the macro recovery in steel as being the key driver for the company. But I mean, is it a big focus for them in conversations with you about the trajectory of the iron ore market, and whether that might alter the way they view the macro trends? Or do they focus on the recovery in steel instead?
Aditya Mittal: Yes, so a lot of these discussions are private in nature, as you can imagine, and confidential. And it's best for you to have further discussions with a rating agency. I think what I can say is that they are focused on the macro steel environment, how we're doing in terms of our key strategic initiatives, what's happening on our cost reduction plan, what's happening in terms of volume recovery -- not volume recovery, but volume growth in our mining division and how and what our plans are to continue to delever the company, what we will do with excess cash, whether it's CapEx or dividend. And all the things that we've been speaking to you about is generally the type of discussions we have with our rating counterparts.
Daniel Fairclough: I'm conscious of time, but we'll move to the next question from Rui Dias from Espirito Santo.
Rui Dias - Espirito Santo Investment Bank, Research Division: So 2 questions, quick ones. On pricing in Europe, if possible if you can answer this. I guess that we should expect higher steel spreads in Q2 owing to lower raw material prices, but for Q3, where should we -- Q3, you should have already visibility at least for June and July. So what are you seeing in terms of price/cost spread evolution? Are you being able to maintain at least flat prices, and so benefit from even lower potential raw material costs during Q3? Or is the spreads unlikely to increase in Q3? This is the first question. The second question is if possible, can you tell us how much are you expecting to materialize in terms of cost savings in 2014? I don't mean the run rate, but how much should be the delta between the EBITDA in 2014 and 2015 just on the back of cost savings?
Aditya Mittal: Rui, on pricing, I think I'm going to repeat a bit of everything we have all said. I said what I can say is that you can look at the indexes that are available for steel pricing. I think the indexes today are saying that steel prices are today where they were closer to the end of last year. And when you look at the indexes of raw materials, you can see that they are lower. And then if you look at our business, we can see that our margins have improved as a result of cost reduction and asset optimization. In terms of your second question, I mean, I think it's very clear what we have talked about in the past. There are 2 trust areas in terms of cost reduction initiatives that we have, the first being management gains, which is 2/3 variable, 1/3 fixed. They've talked about in the past that we expect to keep a majority of these savings. In terms of AOP, the program is largely complete. And we still have some residual savings, as it takes a bit longer for all the people to leave and for all efficiencies to be achieved in the existing operations. We have estimated out of our $200 million. Both these numbers are baked into our guidance forecast that we issued in February when moving to what we achieved on an underlying basis in 2013 to our guidance of $8 billion in 2014.
Rui Dias - Espirito Santo Investment Bank, Research Division: Okay. Just to follow up, in Q1, how much in terms of cost savings did you materialize? How much is included in Q1 EBITDA?
Aditya Mittal: So look, I talked about this earlier. We will update the market on an annual basis in terms of what we have done on a cost saving basis.
Daniel Fairclough: We'll move to the next question from Andrew Rickville [ph] at Cowen and Company.
Unknown Analyst: I've got 2 questions, one on the auto market. The aluminum industry seems to be quite aggressive in their claims about gaining market share from you guys, the steel industry in, some of which I don't agree with. But do you see the steel industry being able to offset possible volume declines driven by your light-gauging efforts and possible market share loss with higher prices and margins on the value-added products and solutions that you're developing for the OEMs? That's my first question. The second one is just a question on Baffinland and Mary's River. I think I recall reading something where you guys may get some production in the second half of this year. Just an update there, please?
Louis L. Schorsch: Okay. The comment on auto, obviously this could be a very long discussion. But I think, first, we're -- we remain bullish about steel's ability to provide the solutions at an attractive price and with attractive features that the automotive companies want. So we know it's a battle that there's a lot of technology being developed by our company and others to try to respond there. So it's a positive thing, I think, for these sectors in general. And we do feel it's positive for us in the sense that we see more and more that these OEMs are demanding relatively sophisticated technology, and they're also looking for that to be supplied on a global basis. And we think that we're very well-positioned as a company to respond there. Nevertheless, I think you did point out that a part of the solution, even as you go to the wave savings with advanced high-strength steels, by definition, the tonnage, if you will, that goes into this sector is going to come down. Again, we expect that we'll be able to fare fairly well because of our strong technology and global position, able to get a premium for the better products. But in terms of tonnage, the volumes will come down. In terms of square meters, in effect, it would be -- should potentially be about the same if we can win that raise. But in terms of the pure tonnage, you're right, that it's going to come down as we supply better, stronger, lighter steels to help solve those problems for the automotive companies.
Lakshmi Niwas Mittal: Thank you. On Maryland, we are making good progress, and we are on schedule. We hope that first shipment will come in December 2015. That is the shipping period available. I know that there has been some media that we will ship something on 2014, but we do not believe so at this time to really see the progress of the project. And our original schedule was 2015.
Daniel Fairclough: So I think we've got time for 2 more questions. So we'll take the first from Dave Katz of JPMorgan.
David Adam Katz - JP Morgan Chase & Co, Research Division: Another question on the auto steel. You spoke earlier about the advancements you've made with regard to the advanced high-strength steel and highlighted how you're positioned well in the U.S. as a result of, I guess, the move you've made with Calvert, among other things. And then you talked about how you're well-positioned in China due to the JV that you're undertaking. I was hoping that you could speak specifically to any movements you've made forward in Europe? And in addition, if you've noticed a differing predilection among the auto manufacturers based on the geography of their headquarters, whether they want to move forward longer-term with auto steel or if they'd rather shift a little to aluminum?
Louis L. Schorsch: Yes, I can comment a bit on that. I think we see the same dynamic whether it's in North America or in Europe. In Europe, the regulations are more focused around CO2. In North America, they're more focused on weight. But they're all trending in the same direction. Again, they're deployed in a little bit different way. So it's not exactly the same. But at any rate, I think we see ourselves still in a fight, let's say, in Europe as well, but we feel that we're in a very strong position here. And in fact, some of the dynamics, and this is largely -- has to do with the mix of vehicles that are used, make it a bit, let's say, more favorable for aluminum, particularly in that light truck segment where we do see some movement in that direction. I don't think you have that same dynamic or that same product segment being as important in Europe. And really, the leading automotive suppliers in Europe, I think, have been very explicit publicly about saying they can get where they need to get to using steel, and actually in many cases, that's using specifically these kinds of solutions that we're providing to them.
Lakshmi Niwas Mittal: Maybe I will just add, in Europe, there is much more acceptance of usable-type products, advanced high-strength steels. And as a result, we have also witnessed previous aluminum solutions switch back to steel solutions in certain product regions in Europe. So here, the acceptance of highly [indiscernible] technological solutions from the steel industry is much more prevalent. The infrastructure to supply that is there as well in North America. We are making efforts to replicate some of that as we speak.
Daniel Fairclough: We'll move to the last question from Charles Bradford at Bradford Research.
Charles A. Bradford - Bradford Research, Inc.: Now that the election seems to be over in South Africa with the ANZ winning pretty conclusively, does that set to rest a lot of the oppositions, demands for nationalization, expropriations and so forth? Or could the ANZ go back to the IMF deal they made 20 years ago and which are now, I guess, expired?
Lakshmi Niwas Mittal: I was in South Africa last week and I happened to meet the senior leader. And I get an impression that ANZ's next target is to continue to improve the jobs and to support the jobs-creating industries. And I hope that they will be more supporting the growth in infrastructure, in the business environment before the new administration will be settled for the next few years. So thank you very much for participating in today's call, and looking forward to see you in the next quarter's call. Thank you. Have a good day.